Operator: Good morning, and welcome to the JBT Corporation's Third Quarter 2022 Earnings Conference Call. My name is Colby, and I'll be your conference operator today. As a reminder, today's call is being recorded. [Operator Instructions] After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to JBT's Vice President of Corporate Development and Investor Relations, Kedric Meredith, to begin today's conference.
Kedric Meredith: Thank you, Colby. Good morning, everyone, and welcome to our third quarter 2022 conference call. With me on the call is our Chief Executive Officer, Brian Deck; and Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the safe harbor language in yesterday's press release and 8-K filing. JBT's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the Investor Relations section of our website. Also our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the Investor Relations section of our website. Now, I will turn the call over to Brian.
Brian Deck: Thanks, Kedric, and good morning, everyone. In the third quarter of 2022, JBT achieved its guidance for bottom line growth and had a few high points, including posting record adjusted EBITDA at FoodTech even without the impact of this year's acquisitions and despite FX, with considerable progress in price cost realization. We completed two attractive acquisitions that enhanced FoodTech's competitive position and AeroTech is well on its path to recovery. However, we continue to operate in a dynamic and challenging environment, which has been further pressed by macroeconomic forces. Regarding FoodTech demand, in Europe, our customers continue to grapple with high energy and input costs impacting the profitability and delaying investment decisions. And in the third quarter, we experienced some of that same pressure in North America. That said, our customer engagement and pipeline opportunities remain quite strong as our core technology and solutions provide critical support for customers' ongoing focus on improving yield and uptime, as well as advancing the automation and sustainability objectives. Moreover, our solutions help enhance customers' margins at a time when it's most crucial as they tackle rapidly rising input costs and labor constraints. Although we remain cautious in the face of macro-driven uncertainty, we're optimistic about our current position at FoodTech. Given the more stable market associated with food and beverage demand along with our proven resilient recurring revenue model, I believe we are well situated to weather a broader economic downturn, should that materialize. Meanwhile, we are actively managing our cost structure. In the third quarter, we took a modest restructuring charge to reduce overhead in Europe but we are tightening our discretionary spend globally. Additionally, we are identifying further actions, including more structural considerations as necessary. Separately, at AeroTech, we remain on path toward a full demand recovery. With that, I will turn the call over to Matt to provide details on the third quarter and walk you through the changes to our full-year guidance, which now includes the acquired Bevcorp business.
Matt Meister: Thanks, Brian. JBT posted double-digit year-over-year revenue growth of 16% in the third quarter of 2022. At FoodTech, revenue increased 11% year-over-year, comprised of 11% organic growth and 7% from acquisitions, offset by a negative foreign exchange impact of 7%. Organic growth fell slightly below guidance primarily due to a pullback in shorter cycle products in Europe. At the same time, FoodTech delivered adjusted EBITDA margins of 19.3%. We are encouraged by the progress we've made in margins as demonstrated by the improvement of 60 basis points year-over-year and 210 basis points sequentially primarily due to better price realization. FoodTech orders of $349 million decreased 9% year-over-year, which included a negative $21 million impact from foreign exchange. As Brian mentioned, we saw continued softness in European demand as customers dealt with high input costs. And beginning in the third quarter, slower conversion rates in North America materialized as our customers delayed investment decisions for equipment. AeroTech revenue increased 32%, which exceeded our guidance primarily due to the timing of mobile equipment shipments. Adjusted EBITDA margins of 8.2% improved 60 basis points sequentially. However, margins fell short of our guidance due to ongoing input cost inflation, as well as supply chain and labor constraints. We do expect margin progression to continue for AeroTech in the fourth quarter. AeroTech orders were $113 million and as expected declined year-over-year due to the timing of some large projects, however, the pipeline for other infrastructure projects and demand for mobile equipment remain strong and we expect solid orders in the fourth quarter. Corporate costs excluding LIFO and M&A were as expected, including a year-over-year increase of about $4 million in costs associated with our digital strategy. LIFO expense was higher than expected due to persistent inflation on material. Interest expense for the quarter increased primarily due to the higher debt balance associated with the acquisition of Bevcorp. With that, we posted GAAP earnings per share of $1.07 compared with $0.91 in the prior year and adjusted EPS was $1.27 versus $1.02. The discrete tax benefit added $0.02 per share while FX negatively impacted EPS by $0.10 per share. Year-to-date, operating cash flow was $75 million, while free cash flow was $13 million, which includes $30 million CapEx investment in our digital strategy. Cash flow was below our expectation due to a lower customer deposits and elevated inventory levels as a result of ongoing parts availability issues with our vendors. As the supply chain normalizes, we expect to reduce inventory levels and we are supporting our customers and delivering on backlog remains our priority. For the full year, we now anticipate free cash flow conversion of about 70%. As of the third quarter, our net leverage ratio was 3.4x, just currently above our target range due to the acquisitions of Bevcorp and Alco. We anticipate that our net leverage ratio will be approximately 3x by the end of the year due to a combination of improved profitability and lower debt. As I mentioned earlier, the higher-than-expected negative FX impact from the strong U.S. dollar weighed heavily on our third quarter results and we expect that to continue through the end of the year. For the full year, this equates to a negative impact of approximately $85 million on revenue, $15 million on EBITDA, and $0.27 on EPS. Now with regards to guidance, for the fourth quarter, which includes Bevcorp, we expect FoodTech year-over-year revenue growth of 18% to 19.75%, that breaks down to 17% to 18% organic growth, 9% to 10% from acquisitions, offset by an 8% foreign exchange impact. For AeroTech, we expect revenue growth of 23.5% to 25.5%. The margins, we expect FoodTech operating margin of 13.75% to 14.5%, adjusted EBITDA margins of 19% to 19.75%. For AeroTech, we anticipate operating profit margin of 11% to 12% and adjusted EBITDA margin of 11.75% to 12.75%. Our fourth quarter GAAP EPS guidance is $1.15 to $1.30 and adjusted EPS of $1.35 to $1.50. Considering our third quarter results and fourth quarter estimates, we have revised and narrowed our full-year guidance ranges, which have provided -- which were provided in yesterday's press release and earnings presentation. We now estimate full-year GAAP EPS of $4.05 to $4.20, an adjusted EPS of $4.65 to $4.80. Now, let me turn the call back to Brian.
Brian Deck: Thanks, Matt. We are particularly pleased with FoodTech's margin progression in the quarter as we approach pre-pandemic levels. Although we have more work to do in this regard, on the supply chain side, while lead times and deliveries for critical components are still long, overall constraints are starting to ease and our pricing efforts continue to close the price-cost gap. These better dynamics along with good revenue growth drove FoodTech's margin gains in the third quarter. That said, FoodTech orders softened in the third quarter. Under normal circumstances, we do not place too much weight on any one quarter for volatility, but in the context of broader macroeconomic headwinds, it does raise the level of cautiousness regarding our 2023 outlook. We expect to provide full year 2023 guidance with our fourth quarter earnings call for our standard practice. In the meantime, here are a few thoughts on how we look at things as we turn the corner into next year. We should be entering 2023 with the backlog of almost $1 billion across FoodTech and AeroTech. The backlog then embeds better price-cost dynamics. Our FoodTech order -- equipment order pipeline remains near record levels as our customers continue to be capacity and margin constrained with a fundamental need to invest. Recurring revenue, which represents nearly half of the total for FoodTech has historically held steady in downturns, and as a reminder, in 2020, FoodTech recurring revenue was about flat year-over-year organically. In AeroTech, in 2023, we expect to deliver top line growth in the high single-digits. We foresee continued health in the cargo infrastructure markets and improving dynamics for defense equipment. At the same time, robust growth in the commercial airline industry is translating to strong recovery and demand for our mobile ground support products. For the fourth quarter, our primary focus is debt reduction and the cost management, while we continue to deliver on our backlog and support our customers' needs. Let me put some thoughts on how JBT is enhancing our customers' sustainability journey. As you may have seen in the recent news release, we expanded our leadership to include a dedicated function, focused on partnering with customer support to support their sustainability goals, and advance the development of products and solutions that help reduce their environmental footprint. Through water reuse systems, automated cleansing systems and other technologies, we help customers conserve water and reduce waste. Our environmentally-friendly packaging solutions reduce the use of plastic and promote the use of recyclable or biodegradable materials. We reduce food waste by improving the yield and extending food shelf life. We are committed to reducing the use of precious energy resources across our product portfolio with lower power-consuming motors, energy-saving refrigeration and freezing designs, heat recovery systems and low-emission technologies. And with the OmniBlu digital tools, we monitor machine health and performance in real time, enhancing our customers' ability to improve yield and manage energy and water usage. On the M&A front, on September 1, we completed the previously announced acquisition of Bevcorp, which provides blending, filling and closing systems for our beverage customers. As discussed, more than 60% of Bevcorp's revenue is recurring and is accretive to margins and it comes out of the gate -- it has come out of the gate strong. Bevcorp serves the resilient and expanding end market for soft drinks, alcohol beverages and blends, seltzers and sparkling water, categories that have fared well in this inflationary environment. In terms of JBT's portfolio strategy regarding AeroTech, we still expect to communicate a defined path during the front half of 2023. As I said at the top of the call, the current economic environment creates uncertainties. However, we believe JBT's position as a global leader in sales for the less economically sensitive food and beverage industries, combined with the high level of recurring revenue makes us a resilient organization. As always, I'd like to thank our global teams, whose dedication and commitment to serving our customers is the foundation of JBT's growth and success. With that, let's open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Mig Dobre from Baird. Your line is open.
Mircea Dobre: Okay. Good morning guys. Can you hear me okay?
Brian Deck: Yes. Good morning, Mig.
Mircea Dobre: Excellent. I wanted to start with a free cash flow question. You obviously had to deal with a lot of a supply chain issues this year. Sounds like things are getting better. How do we think about this converting working capital to cash into 2023? Is it fair for folks to expect conversion north of 100% of net income next year?
MattMeister: Yeah. I think -- Mig, this is Matt. I think that is a fair assumption for 2023. I mean, quite honestly, even in 2022, some of our cash flow conversion percentage is down just because of our increased investment from a CapEx perspective on our digital strategy. So I think we're pretty confident that in 2023, we will be able to convert back to our normal 100% plus net income going forward.
Mircea Dobre: And as far as deleveraging goes, right, I mean, the macro is clearly more complicated, interest rates are going up and that's starting to pressure your EPS as well. Can you talk a little bit about how you kind of view the next call it 12 to 18 months? Should we expect M&A to sort of take a backseat here and see more robust debt reduction in the near term?
MattMeister: Yes. Mig, I'll start and then I'm sure Brian has some comments as well. I mean, I think in the short term, I think we're focused on getting our leverage ratio back to the 2x to 3x, which is our target range. And I feel pretty confident that in a pretty short order, we will be at that 3x or below here, just through cash flow and improved profitability. And just as a reminder, I mean, the majority of our current outstanding debt is at a relatively fixed rate. So we're in a pretty good spot from a debt perspective.
Mircea Dobre: Right.
MattMeister: And then more broadly speaking, certainly, we just -- we are very pleased that we completed the Bevcorp and Alco acquisitions. We're going to take our time to absorb that both financially and operationally. However, as you know, M&A is still core to our strategy from a growth perspective. As we get our leverage back where it needs to be, we'll be active. We continue to be active in the marketplace because it's an always-on process. As you know, it sometimes takes a year or longer to -- for these opportunities to gestate. So we'll keep active on that, but certainly, we're going to be very cognizant of the broader macroeconomic environment, our leverage and where we think growth is going for any target opportunity. So here in the short term, I think you're going to see us focused on net debt reduction.
Mircea Dobre: Okay. Then, I guess one final question for me is on the FoodTech orders and look candidly speaking, I think your commentary as far as the broader macro impacting demand is maybe a little bit different than what I've been hearing on earnings calls from other companies. You are more cautious and I'm kind of curious to get your perspective, so outside of Europe, your North American customers, what are you seeing from them? And is this a sort of a near-term hesitancy or do you think that this is something that lingers into 2023 and could actually impact the investment cycle again? And I'm talking about your North American customers, not about Europe specifically. Thank you.
Brian Deck: Sure. Not surprisingly and we've seen this in the past when there has been big, I'll call it, economic shocks or impacts. We do often see our customers take a pause for a quarter or maybe even two and we certainly saw that just literally decision making delays as they try to get final signatures on orders and whatnot. And -- but I will say this, as I mentioned, our pipeline of opportunities is very strong. The conversations with our customers are telling us that they want to invest, they need to invest, and we have the products and services that support that growth and opportunities for them. In fact, I was at the Pack Expo show here in Chicago just this week, and it was a very busy show. Our booth was busy. All the booths around were busy. So -- and I had conversations with customers, reiterating what I just said. That said, we're trying to not be obtuse to broader economic concerns and in that light, we're going to continue to be positioning our expenses just in case of things getting worse from here. But thinking about it macroeconomically, cyclically, secularly for us we are externally well-positioned and I can tell you, Mig, while it's too early to give specific guidance on 2023, we will have some feel for that in the next couple of months. We are not capitulating on growth for 2023.
Mircea Dobre: Okay. I appreciate it.
Brian Deck: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Lawrence De Maria from William Blair. Your line is open.
Lawrence De Maria: Thanks. Good morning, everybody. A couple of questions. First off, on the digital strategy and sales, I guess net investments, most of them have been made, how is the engagement going so far and leading to any commercial opportunities yet?
Brian Deck: Yes. Thanks for asking. We're super excited about OmniBlu. The engagement with customers has been very good. They are recognizing the value proposition both from a uptime perspective. It does -- we do have great solutions that are recognizing increased uptime, as well as margin enhancement capabilities. So engagement has been great. We have signed several contracts at this point and it will lead to revenue for next year. It's a little bit tougher environment with the economic concerns but that said, the value proposition is there. They're very engaged. We are extraordinarily busy pitching that product at this point.
Lawrence De Maria: Thanks. And then maybe another quick one here. The AeroTech strategic actions, I know it's early and it's a next year event, if it happens, presumably it does, is there a multiple range that you were thinking about? I know multiples are moving around and a little bit down now, but is there a range that we're thinking about now that is acceptable at this point?
Brian Deck: Yeah. It's honestly too early to tell that, Larry. But what I will tell you is that AeroTech is going to be in high demand. It is in high demand. We're getting calls obviously. It's a platform business in early-stage recovery. And so it's going to be highly sought after asset in our opinion and so we're excited about that, but we're going to let the markets do what the markets do and let that play out here as we get to the sometime in early 2023, as we make some defined path decisions.
Lawrence De Maria: Okay. Fair enough. And then I'll ask one more since I think I was the last person. As it relates to North American food and the incremental weakness delayed kind of order closure et cetera. I also was at Pack Expo this week and it was very strong and we heard about a lot orders being closed. It will be concern if there is -- this is partially portfolio driven? is it the lack of deboning, which is a problem? Or is it the production problems or long lead times, et cetera that's forcing customers to maybe look elsewhere for products or kind of wondering how much of this is just is market driven and how much of this is let's say more JBT-driven, supply chain-driven, et cetera?
Brian Deck: Sure. Larry, our portfolio is extraordinarily broad, probably broadest in the industry. No one product represents any meaningful part, perhaps with the exception of freezers, which is our biggest product line, but honestly, it's really what I talked about like we've seen in the past when there has been economic concerns or shock, people tend to put the orders on delay for a period of time until they kind of sort things out in their own heads. Frankly as I mentioned, we're quoting, we have a very active pipeline. I don't know if you visited our booth or not but our booth was very busy. So again, the pipeline is strong and just being, -- and I'd just like to be recognizing that we're just going to be smart about it as we go from here.
Lawrence De Maria: Okay. Thank you.
Brian Deck: Thank you.
Operator: Your next question comes from the line of Mig Dobre from Baird. Your line is open.
Mircea Dobre: All right. I figured I'd come in for some follow-ups. I didn't want you guys to get off this call so quickly, so extend the pain here. So I guess, what I wanted to kind of ask about are lead times in your FoodTech business, and obviously, you have a protein business, there is a liquids business, there is a packaging business. I understand that you have various components to it, but I'm curious as to how those lead times have changed over the past call it three to six months and where are you relative to competitors in that regard?
Brian Deck: Sure. Depending on our product line, we have short cycle businesses and moreover, most of our businesses are a little bit kind of, I will call it, medium to longer cycle on the FoodTech side. I would say, historically, six to nine months would be the average over the last year that's extended the 9 to 12 months. Everything that we hear is that we are consistent with the overall marketplace in terms of lead times.
Mircea Dobre: Great. So as far as now kind of looking at demand. I'm curious what your reaction is to that. If we're looking at your order intake in 2021, that was quite strong. This is where a lot of your backlog was built. Is it possible that what we've seen in 2021 was just customers reacting to elongated lead times and eventually maybe ordering a little earlier in a project, ordering ahead, any double ordering in some cases, and now we're just starting to see that effect sort of waning or essentially this becoming a headwind for you?
Brian Deck: Certainly. It's certainly not double ordering, I can tell you that people don't invest in $2 million systems, order two of them. It's a -- again, this is a highly engaged sales cycle. They are meeting their demand. It's truly the need for the capacity and the margin improvements that they have and the labor constraints that they have. Those have not abated, that's not a particular concern that the macroeconomics for them or microeconomics for them are such that they do need to continue to need to invest, so that's crystal clear. As you know, Mig, we have enjoyed pretty consistent order flow for the last call it five, six quarters prior to this. It's historically a pretty normal pattern for us to kind of go up and down, so I'm not particularly -- I'm not going to overreact on any one data point, right? If there is a trend, we'll see next quarter. I'm honestly not overreacting to the single data point, especially considering the nature of the conversations with our customers and their expressed need for investment.
Mircea Dobre: Okay. Fair enough. And then lastly, the investment that you're making in OmniBlu, which my memory -- is that a lot of it is kind of flowing through corporate expense. Can you remind us the size of it for this year and how we should be thinking about that into 2023?
MattMeister: Sure. From a CapEx perspective, Mig, this year, it's about $40 million, $45 million, which we would expect to not be anything close to that next year. It's going to be a lot less next year almost -- but honestly probably closer to zero than closer to $40 million. And then from an expense perspective, I think this year, it's close to $10 million to $15 million in expense and next year, we would expect in the corporate area that's going to be closer to probably in a range of $5 million to $10 million, probably closer to $5 million with the majority of the expense flowing through the businesses to line up with the revenue.
Mircea Dobre: Got it. All right. Thank you, guys.
Brian Deck: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call back over to Mr. Brian Deck for closing remarks.
Brian Deck: Thank you all for joining us this morning. As always, Kedric and Marley will be available if you have any follow up questions. Thank you.
Operator: This concludes today's conference call. You may now disconnect.